Operator: Hello and welcome to W. P. Carey’s Fourth Quarter and Full Year 2022 Earnings Conference Call. My name is Donna and I will be your operator today. [Operator Instructions] Please note that today’s event is being recorded. After today’s prepared remarks, we will be taking questions via the phone line. Instructions on how to do so will be given at the appropriate time. I will now turn today’s program over to Peter Sands, Head of Investor Relations. Mr. Sands, please go ahead.
Peter Sands: Good morning, everyone. Thank you for joining us this morning for our 2022 fourth quarter earnings call. Before we begin, I would like to remind everyone that some of the statements made on this call are not historic facts and maybe deemed forward-looking statements. Factors that could cause actual results to differ materially from W. P. Carey’s expectations are provided in our SEC filings. An online replay of this conference call will be made available in the Investor Relations section of our website at wpcarey.com, where it will be archived for approximately 1 year and where you can also find copies of our investor presentations and other related materials. And with that, I will pass the call over to Jason Fox, Chief Executive Officer.
Jason Fox: Thank you, Peter and good morning everyone. 2023 marks several anniversaries for W. P. Carey. It was 50 years ago that Bill Carey founded the company, 25 years ago that we became a public company. It was also 25 years ago that we began investing in Europe, where we pioneered sale-leasebacks. Company has evolved considerably over the last 50 years. The most recent development being our exit from the non-traded REIT business, culminating in our merger with CPA:18. The completion of our transition to a pure-play net lease REIT in 2022 reflects our focus on real estate AFFO growth, driven by accretive investments and rent escalations. And despite the challenging market backdrop in 2022, we generated real estate AFFO growth of 6.3% per share for the year. This morning, I will focus my remarks on our recent investment activity and outlook and Toni Sanzone, our CFO, will cover our results, the 2023 guidance we announced this morning and our balance sheet positioning. We also have our President, John Park and our Head of Asset Management, Brooks Gordon, on the line to take questions. Starting with externally driven growth, over the course of 2022, the U.S. 10-year treasury rate rose over 200 basis points, while cap rates lagged well behind as sellers were slow to adjust their expectations. Buyers fought to preserve spread with transactions often take longer to negotiate and close, especially sale-leasebacks tied to corporate M&A. Overall, our investment volume for the year totaled $1.4 billion at a weighted average cap rate of 6.3% and a weighted average lease term of 20 years. In addition to the more than $2 billion of real estate, we added at a cap rate in the mid-6s through the CPA:18 merger. With interest rates moving another leg higher in October, we actively exerted our pricing power during the fourth quarter, requiring higher yields and willing to be patient as cap rates began to move, creating opportunities to transact at more attractive spreads. As a result, I am pleased to say we executed investments at meaningfully higher cap rates during the fourth quarter, although on investment volume that was lighter than we anticipated, totaling $159 million. Overall, these investments blended to a weighted average cap rate of 6.8%, primarily reflecting warehouse and industrial investments with going in cap rates in the high 6s and into the 7s. While interest rates have fallen somewhat since the fourth quarter, the large majority of the investment opportunities we are evaluating today also have cap rates in the high 6s and into the 7s resulting in investment spreads that are considerably more attractive than they were for most of 2022 and at levels where we are comfortable transacting. Looking ahead, we are well positioned to take advantage of the current market environment. Our diversified approach gives us the ability to invest across property types, both in the U.S. and Europe and ensures we have the widest possible funnel of opportunities with companies across a variety of industries. And while we currently see more actionable opportunities in the U.S. where cap rates have adjusted more quickly, we do expect cap rates in Europe to catch up with higher interest rates. Furthermore, the environment for sale-leasebacks is as favorable as we have ever seen it as high-yield debt and leveraged loans remain very expensive. Companies are increasingly exploring alternative sources of capital, including sale leasebacks. In fact, private equity firms that we previously never saw use sale leasebacks are now looking at it as a source of capital, enabling us to develop new sponsor relationships. We expect these market conditions to continue for the foreseeable future and that we will be the major beneficiary of the increased deal flow as the market leader in sale leasebacks. And of course, the strength of our balance sheet including significant liquidity, gives us a competitive advantage with sellers who remain concerned about execution risk. Our competitive position is especially compelling compared to bidders who rely on asset-level debt, which has either become prohibitively expensive or unavailable, particularly for tenants just below investment grade that we target. Currently, we have a strong near-term pipeline with over $500 million of investments at advanced stages or under letters of intent. This in conjunction with about $156 million of capital investments or commitments scheduled to complete in 2023 and the deals we have closed year-to-date gives us a visibility into at least $700 million of deal volume a little over a month into the year. Overall, given what we are seeing today, we expect to close meaningfully higher investment volume in 2023, totaling roughly $2 billion at higher cap rates and wider spreads. Moving to our capital markets activities, despite sharply higher interest rates in a turbulent capital markets backdrop throughout much of 2022, our stock price held up extremely well. We ended the year as one of the top performing REITs. The relative strength of our stock has enabled us to raise well-priced equity capital and we currently have about $560 million of equity available for settlement under forward sale agreements, raised at an average price of about $84 per share. On the debt side, we were one of a relatively small group of REITs to issue attractively priced debt in 2022, with our inaugural €350 million private placement bond offering in September at an interest rate in the mid-3s. And I am pleased to say that the improvement in our credit profile was recognized by the rating agencies, with Moody’s upgrading us to Baa1 in September, followed by S&P upgrading us to BBB+ a few weeks ago. These upgrades incrementally improve both our access to debt and cost of debt, which is currently among the best price in the net lease sector. Our ability to raise well-priced capital in 2022 in conjunction with our revolving credit facility has ensured we have entered 2023 exceptionally well positioned with more than enough dry powder to execute on our near-term pipeline on a leverage-neutral basis. Given where this capital was raised, we are very comfortable with our ability to deploy it accretively through the deals currently in our pipeline and into new investments given that transaction cap rates appear to be stabilizing around current levels. We are also comfortable with our ability to continue investing accretively at tighter cap rates than our current targets, if we see interesting opportunities, given where we expect to be able to raise capital in 2023. Lastly, I want to touch briefly upon the quality of our portfolio amid concerns about inflation and the potential for at least a mild recession. We remain uniquely positioned within net lease with best-in-class rent growth and proven resiliency, be on a well-diversified portfolio of critical real estate leased to large companies on long-term leases with a weighted average lease term of just under 11 years. It also remains healthy, with occupancy at 98.8%, fourth quarter rent collections of over 99% and a benign watch list. Before I hand over to Toni, I’d like to take this opportunity to thank our employees, past and present who have helped shape W. P. Carey over the past 50 years into the company it is today. All of the milestones we are celebrating this year and the solid results we have achieved would not be possible without our dedicated and talented team. And I am proud that we have been included in the Bloomberg Gender Equality Index for the third year in a row, one of only a handful of REITs selected this year, highlighting our longstanding commitment to gender equality and an inclusive culture. And with that, I will pass the call over to Toni.
Toni Sanzone: Thank you, Jason and good morning everyone. This morning, we reported AFFO per share of $1.29 for the fourth quarter, bringing full year AFFO per share to $5.29 and real estate AFFO per share to $5.20, an increase of 6.3% over the prior year, reflecting the accretive impact of both new investments and our merger with CPA:18, which closed in August as well as the strength of our rent growth. During the fourth quarter, we continued to benefit from inflation protection built into our portfolio. Overall, contractual same-store rent growth remained at a record 3.4% year-over-year, which is up 160 basis points versus the year ago quarter. Given the timing lag on which our inflation-based leases escalate, we expect contractual same-store rent growth to remain elevated throughout 2023 and well into 2024, even if inflation comes down. We estimate that it will increase to around 4% in the first quarter when roughly 40% of ABR with rent increases tied to inflation will go through scheduled rent bumps and remain around 4% for the full year. Comprehensive same-store rent growth for the fourth quarter, which is based on the pro rata net lease rent included in our AFFO, was 1% year-over-year, primarily reflecting elevated rent recoveries in the prior year period. Normalizing for these recoveries brings comprehensive same-store above 2%, which is about 100 basis points below our contractual same-store and in line with historical trends. Comprehensive same-store in the 2022 fourth quarter also included downtime on vacant assets, the large majority of which are in the process of being repositioned or expected to be sold during the first half of this year. Fourth quarter leasing activity comprised 9 renewals or extensions. And overall, we continue to achieve positive rent recapture totaling 110% of the prior rents driven by warehouse and industrial and adding 8.3 years of weighted average lease term. Other lease-related income for the fourth quarter included the $5 million settlement of a claim on the guarantor of a prior lease the timing of which was accelerated, bringing the full year total for this line item to $33 million, just above our expectations for the year. For 2023, we are currently assuming that other lease-related income remains relatively consistent with 2022 levels. Non-operating income for the fourth quarter primarily comprised realized gains from currency hedges totaling $6 million, down from almost $9 million for the third quarter. For the full year, non-operating income totaled $30 million, including $24 million in realized gains from currency hedges. Our 2023 guidance assumes currency rates remain at or around their current levels, which would result in expected gains from currency hedges of approximately $15 million. As a reminder, a strengthening euro would positively impact our cash flows and earnings with lower hedging gains as an offset. Non-operating income in 2022 also included $4 million in dividends received from our equity interest in Lineage Logistics. We have not received and do not expect to receive a dividend from our investment in 2023. Lineage continues to perform well and our investment now totals just over $400 million, including a $39 million mark-to-market gain during the fourth quarter based on its most recent offering valuation. Disposition activity during the fourth quarter comprised 6 properties for gross proceeds of $68 million, bringing total disposition proceeds for the year to $244 million, a large portion of which were legacy CPA:18 assets whose disposition was contemplated in conjunction with the transaction. Operating properties generated NOI of $17 million during the fourth quarter, up from $12 million for the third quarter with the increase primarily reflecting a full quarter contribution from the operating self-storage portfolio we acquired as part of the CPA:18 merger. At year end, our operating assets comprised 84 self-storage properties, 2 student housing properties and 1 hotel. Separately, in January of this year, 12 of the Marriott hotels we own, which were previously net leased, converted to operating properties upon expiration of their master lease. Marriott will continue to operate and manage these hotels under long-term franchise agreements and we expect their NOI contribution to be marginally higher than the $16 million of ABR they generated in 2022 as net lease assets. These are non-core assets that we plan to sell with the exception of 3, for which we are pursuing very attractive redevelopment opportunities. We will provide updates as we make progress with the Marriott sales, but for purposes of our 2023 guidance we are assuming they occur late in the year, recognizing they have the potential to move into 2024. For 2023, we expect NOI from all operating properties to total around $100 million, with roughly three quarters of that coming from self-storage, which is expected to achieve NOI growth in the mid to high single-digits as compared to 2022. As a reminder, the same-store metrics I discussed earlier reflect only net lease assets and non-operating properties. Turning now to expenses, interest expense totaled $68 million for the fourth quarter bringing the full year total to $219 million, up 11% over the prior year. The weighted average interest rate on our debt was 3% for the fourth quarter and 2.7% for the full year. Our guidance currently assumes higher base rates will result in our weighted average cost of debt approaching the mid-3s, although this is dependent on the specific timing and execution of capital markets activity as well as further interest rate movements. Non-reimbursed property expenses were $14 million for the fourth quarter, bringing the full year total to $51 million. The amounts for both periods were elevated as a result of higher vacant asset carrying costs, higher maintenance and legal expenses as well as real estate tax accruals. For 2023, we currently expect non-reimbursed property expenses to decline to between $43 million and $47 million for the full year as a result of anticipated vacant asset sales and lease up. The resolution of certain tenant-related back taxes and the timing of asset sales could move us to either end of that range. G&A expense was $23 million for the fourth quarter, bringing the full year amount to $89 million, in line with our guidance range. For 2023, we expect G&A to be between $97 million and $100 million, which includes loss of reimbursements from CPA:18 and reflects our larger asset base as well as inflationary increases. Tax expense totaled $10 million for the fourth quarter on an AFFO basis, which is mainly comprised of foreign taxes on our European portfolio. We expect tax expense to total between $40 million and $44 million for 2023 driven by the inflationary impact on foreign rents as well as the addition of assets acquired in the CPA:18 merger. Turning now to the 2023 guidance we announced this morning. We expect to generate AFFO of between $5.30 and $5.40 per share, all of which will come from real estate given our exit from the non-traded REIT business, implying about 3% growth on real estate AFFO at the midpoint. This is based on expected investment volume of between $1.75 billion and $2.25 billion. And as Jason discussed, we currently have good visibility into at least $700 million of that. For now, we are assuming investment volume occurs relatively evenly throughout the year. Disposition activity for the year is currently assumed to total between $300 million and $400 million, with the majority assumed to occur late in the year, reflecting our anticipated timing for the Marriott operating hotel sales, which I covered earlier. Moving to our capital markets activity and balance sheet positioning. We remain in a very strong capital position with significant dry powder, ample liquidity and moderate use of leverage, which is further supported by our capital raising activity. Towards the end of the fourth quarter, we settled just under 2.6 million shares of our outstanding equity forwards, which will, therefore, be fully reflected in our first quarter diluted share count. We also issued additional equity forwards through our ATM program, both during the 2022 fourth quarter and in January of this year. In conjunction with the existing equity forwards, we therefore currently have about $560 million of forward equity available to settle. We ended 2022 with $276 million drawn on our $1.8 billion revolving credit facility, which, in conjunction with our undrawn equity forwards, maintains an excellent liquidity position, totaling just over $2.2 billion, providing ample liquidity to execute on our near-term pipeline on a leverage-neutral basis and ensuring we continue to have significant flexibility in when we access capital markets. We currently have $430 million of mortgages due in 2023, a portion of which will be retired as part of our disposition plans and no bonds maturing until 2024, all of which we continue to view as very manageable, especially given the improving debt capital markets and our proven ability to access capital even during turbulent markets as was the case in 2022. At year-end, our leverage metrics remained within our target ranges. Debt-to-gross assets was 39.8% at the low end of our target range of mid to low 40s and net debt to EBITDA was 5.7x relative to our target range of mid to high 5x.  Cash interest expense coverage was 6.3x, which moderated compared to the 6.7x for the third quarter, largely reflecting rising interest rates. Lastly, we continue to provide stockholders with growing well-covered dividend income with a payout ratio of 80.2% for the year and an attractive dividend yield currently around 5.2%. In closing, despite the challenging market backdrop, we produced solid full year results, primarily reflecting the accretive impact of new investments and our merger with CPA:18 as well as the strength of our rent escalations. And as we look ahead, we have a strong near-term pipeline, which we are well positioned to execute on given the strength of our balance sheet. And with that, I’ll hand the call back to the operator for questions.
Operator: Thank you. [Operator Instructions] Our first question today is coming from John Kim of BMO Capital Markets. Please go ahead.
Unidentified Analyst: Hey, guys. It’s Derek on for John. I was just curious if you could kind of walk us through the puts and takes of AFFO guidance. What’s the per share impact from OpEx and then from interest expense? Thanks.
Jason Fox: Toni, do you want to take that one?
Toni Sanzone: Yes, I got that one. Thanks, John. So yes, I think we’ve highlighted a number of factors on the call. I think just to kind of summarize, we are seeing a fair amount of growth from the investment activity and from the embedded CPI-based increases in our portfolio, but we are seeing a number of offsetting factors. On the interest expense, I think that’s really the biggest headwind that we’re seeing, and that’s roughly about 3% growth on the offset. On the FX side, I’d say it’s less so in terms of what we’re projecting for 2023, just given kind of where rates are now, and where they settled in over the last part of the year. So I would say FX potentially could have a tailwind for us as opposed to the way it worked against us in 2022. So I definitely would say the largest drivers on the interest expense side. But in addition to that, I highlighted some other points, which included leakage that we would expect from vacancy or downtime in certain assets and then a few smaller items, which are the dividend payments that we’re not receiving from Lineage and Walt that we received prior year as well as some higher G&A and tax expenses. So, all of that really aggregates against the growth that we’re seeing gets us to about 3% for the year.
Unidentified Analyst: Right. Appreciate that. And then I appreciate the color on cap rates kind of widening out as we move into the first quarter of the year. Can you just kind of walk through what the different cap rates are amongst the sectors and geographies? And where is the biggest spreads you’re seeing today?
Jason Fox: Yes, sure. Yes. So we think that cap rates kind of finally reached a bit of an equilibrium in the fourth quarter, and that has carried over to this year. Fourth quarter cap rates was about 6.8%, which was 50 basis points higher on average or higher than the full year average, I should say. I think that’s flowing through the transaction markets as well. In terms of regions, U.S. and Europe cap rates. I would say there maybe similar ZIP codes at this point in time. I think the U.S. has maybe stabilized a little bit more, I think, given where the cost of borrowers in Europe, we could probably – would probably want to see a little bit more cap rate increases to generate the type of spreads that we think we want to transact at in Europe. And then across property types, I would say on the – maybe the low end of the increase is probably in U.S. retail that has proven to be a little bit stickier. And maybe that makes sense, it’s a bit more crowded in terms of competition within net lease and maybe there is still some 1031 trades lingering. I think on the high end, it’s where we’ve seen cap rates move would be in the industrial segment, in particular, sale-leasebacks. I think when you think about corporates and in private equity firms utilizing sale-leasebacks. They are really looking at what are their alternative sources of capital, and that would be mainly the leveraged loan market or the high-yield debt markets and those are still largely dislocated. So I think we have some pricing power right now within that market and cap rates are reflecting that.
Unidentified Analyst: Alright. Thanks, guys. Appreciate the time.
Jason Fox: You are welcome.
Operator: Thank you. Our next question is coming from Greg McGinniss of Scotiabank. Please go ahead.
Greg McGinniss: Hey, good morning. Congrats on the anniversary.
Jason Fox: Thank you.
Greg McGinniss: And thank you for the very robust opening remarks. You can’t leave me with many of my questions that I was going to ask. But I do still have a couple of reserve here. So one, Jason, if you could just touch on the types of assets in the pipeline right now? Where are you seeing the most success in terms of assets with the more reasonable cap rates from a tenant and property type perspective.
Jason Fox: Yes, sure. So just to kind of go through the kind of the visibility and the deal volume that we have, I mentioned over $700 million, and that’s comprised of about $500 million of pipeline that we call investments at advanced stages. The rest of it is either deals that have closed already year-to-date or these capital projects and other commitments that we have each year that are scheduled to complete in 2023. That’s probably about $150 million of that $700 million. In terms of the types of deals in our pipeline, it’s more weighted towards the U.S. right now and maybe North America more broadly. That seems to be the source of more actionable deals, as I mentioned earlier, transaction markets in Europe are still a little bit left to room to go to adjust to the sharper rate increases we saw in Europe. So a little bit more weighted towards the U.S. and North America. Property type is consistent with what we’ve been buying in the past. It’s 2022. I think 70% of our deals were industrial, both warehouse and manufacturing and some R&D. And I think the remainder was probably retail. That’s true for the pipeline as well. It’s going to be predominantly industrial, R&D, warehouse production, and then we do have some retail both in the U.S. and Europe that we’re looking at. And I should say the bulk of what we’re doing, again, or sale-leasebacks, the larger transactions in this pipeline are private equity-backed deals and really in support of M&A activity. So there is a little bit of uncertainty on how the timing works, more moving parts when you’re closing transactions concurrently with the buyout. But of course, execution plays or execution risk is something that the sellers are much more focused on. And I think for that reason, we’re a great partner in and it’s reflected in the pricing we can get from those deals.
Greg McGinniss: Okay. Thank you very much for the color there. Just a couple of quick questions on lease expirations. First is does the 3.9% that’s expiring in 2023 include the 1% for Marriott. And then recent rent recapture has been fairly strong, especially on the industrial assets. Can we view this as maybe more of a new normal for those warehouse and industrial leases?
Jason Fox: Brooks, do you want to take that?
Brooks Gordon: Sure. So the 3.9% does include Marriott. So if you back that off, it’s about 2.8%, another, call it, 50 basis points has sort of already been resolved since. And so that leaves about 2.3% of ABR expiring in 2023, so quite manageable. With respect to your question on the actual leasing metrics, certainly, we’ve had a good run of results there, and we’re quite encouraged by that. That said, I wouldn’t extrapolate any specific quarter or even a couple of quarters. We really like to look at more of a trailing eight number and that’s in and around 102% recapture. So hard to extrapolate a given quarter, it’s very transaction-specific. But I agree there are some tailwinds, especially in our warehouse and industrial assets that have been benefiting us, and we look to keep capturing that.
Greg McGinniss: Okay, thank you.
Operator: Thank you. The next question is coming from Joshua Dennerlein of Bank of America. Please go ahead.
Joshua Dennerlein: Hello. Excuse me, Jason and John. It’s Joshua Dennerlein. My question is, what are your expectations for same store in 2023? And any additional commentary on what’s driving your guide would be appreciated. Thank you.
Jason Fox: Yes. Toni, do you want to talk about that?
Toni Sanzone: Yes, on the same-store side, I get some comments there. We are expecting to continue to see inflation push through just given the lag in our leases. So we do expect that to tick up to about 4% and remain right around that level for the full year, and that’s on the contractual same store side. I didn’t catch the second part of the question.
Joshua Dennerlein: Just any type of additional commentary on what’s driving the provided guidance.
Toni Sanzone: I’m sorry, driving the…
Joshua Dennerlein: Driving guidance.
Toni Sanzone: In terms of the growth for the full year?
Brooks Gordon: Yes.
Toni Sanzone: Yes. I think I did just mention a little bit of the headwinds that we’re experiencing in the upcoming years, the interest expense being the largest factor, as I mentioned. And then there is really just an aggregation of a number of other smaller items that I highlighted being tax expense, G&A expense and some of the dividend that we would have received this in 2022 from Lineage and from Walt to an occur next year. So those things are aggregating in addition to some leakage that we’re seeing on vacancy and some downside on certain assets downtime.
Joshua Dennerlein: Awesome. Thank you.
Operator: Thank you. The next question is coming from Spenser Allaway of Green Street. Please go ahead.
Spenser Allaway: Yes. Thank you. Just on the Marriott assets, I understand that you are going to provide more color as you go along. But just curious if you can just comment at a high level on how that – how the market looks currently for these assets?
Brooks Gordon: Sure. So, yes, as we noted, the 12 of those assets converted to operating in January, that’s a very seamless transition. Marriott continuing to operate those and they are operating well. Hard to gauge in terms of exact timing and execution. But we think interest is going to be pretty strong. And we were looking to sell nine of those assets were in our guidance, assuming that closes at year-end. But again, hard to specifically tie it down timing, we wouldn’t comment on pricing at this point. Three of the assets which we will retain are really excellent development opportunities. One is an industrial opportunity in New York. Another is really well-located potential lab opportunity in San Diego, and then the third is in Urban, California. And again, those will operate seamlessly in the meantime as we pursue those opportunities, but very good redevelopment sites there.
Spenser Allaway: Thanks. And then maybe just more broadly on the transaction market. Can you guys just provide some color on how total deal volume that you have sourced thus far in the year in both the U.S. and Europe compared to last year?
Jason Fox: I mean at this point in the year compared to this point last year? Is that the question, Spencer?
Spenser Allaway: Yes. Just trying to get a sense of how the overall like market looks, just maybe not on everything that you are seriously underwriting, but just in terms of like total deal volume just out there being sourced?
Jason Fox: Yes. Look, I mean it’s – as I mentioned earlier, I think that the sale-leaseback market right now is probably as strong as we have ever seen it, and there is a number of factors leading to that. One of which is private equity firms and how they capitalize their businesses. I think the alternatives are just not as competitive, cost-wise, mainly high-yield debt or leverage loans. I think the second factor, at least in how we compete within the sale-leaseback market is that mortgage availability really is still not all that strong or the execution is a little bit uncertain. So, a lot of the traditional real estate private equity buyers that we compete with I would say they are still largely on the sidelines. So, I think those two factors are really kind of coming together to – not to mention the fact that debt rates have stabilized a little bit, which has led to maybe a tightening of the bid-ask spread between buyers and sellers for deals. I think all of that combined has really set us up well for a transaction market. Compared to this time last year, I mean look, when we started last year, we were quite bullish. And obviously, the sharp interest rate increases in the first quarter kind of changed the trajectory of kind of the pipeline from last year. But where we sit right now, this is as strong as the beginning of the year pipeline as we have had in a long time. There are some chunkier deals in there. As I mentioned earlier, several of those are supporting M&A activity so that timing can be a little bit uncertain, but we feel good about where we sit right now. And so I think it’s a good market, and we will see how the year progresses of course, but it’s quite favorable right now.
Spenser Allaway: Thank you.
Jason Fox: You’re welcome.
Operator: Thank you. The next question is coming from Mitch Germain of JMP Securities. Please go ahead. Mitch, your line is live. Please go ahead. Make sure your line is not muted on your end.
Mitch Germain: Sorry about that. Sorry, I guess it’s only about 5% of your debt that’s coming due this year. What’s the strategy for that mortgage debt?
Toni Sanzone: Yes, that’s right. I think it’s about a little over $400 million of mortgages maturing this year. I think in the context of the size of our balance sheet and really our positioning, we really see that as being pretty manageable. I think we have a lot of optionality. We have over $1.5 billion of capacity in our credit facility and about $560 million of equity forwards that are sitting kind of on the balance sheet, waiting to take out. So, I think we have a lot of options in terms of how we address that. You will expect to see us in the market on the debt side, given some of the size of the pipeline and the deal volume we expect this year. But I think we are in a good position with the $430 million being really manageable for us.
Mitch Germain: Great. And Jason, has anything evolved in your thinking on the operating storage portfolio?
Jason Fox: Yes. I mean look, we are still evaluating it. It’s a property type that we have – that we like. We have owned it for a long time. We have good property managers supporting us in Extra Space in CubeSmart. So,I wouldn’t say that the thinking has evolved. We are still considering all the options. We can continue to own these. We can convert some raw to net lease. We can also look at selling some of them at attractive prices if we think that’s the best way to fund new transactions. So – and it certainly could be a combination of all the above, but nothing big has changed. I think in the meantime, we like the fundamentals. Growth has maybe slowed from the industry’s peak of 2022, but we are still expecting a really strong same-store growth for this portfolio this year. I think based on our property level budgets, we are probably in the mid to high-single digits for this portfolio. So, I think that we can be patient and continue to ride some of the increases. And overall, it’s a nice complement to our net lease portfolio. So, I think we will just be more opportunistic on what path we chose here.
Mitch Germain: Thank you.
Jason Fox: You’re welcome.
Operator: Thank you. The next question is coming from Anthony Paolone of JPMorgan. Please go ahead.
Anthony Paolone: Thank you. First one is just on Lineage. I think you marked it up, but you talked about not getting like a dividend this year. Just wondering if you could reconcile that on what’s happening there.
Toni Sanzone: Yes. We received a dividend from Lineage in the January of 2022, which we believe was reflective of kind of in their taxable income positioning. We didn’t get that same dividend in January of this year. But I think as you have highlighted, it’s really the value of the investment is what we are looking at, and it continues to appreciate. We have marked it up with an offering that they did this year, and we are at about $400 million. So, we really think they are performing continually well, but the cash flow that they are generating off of the investment is probably somewhat variable from year-to-year.
Anthony Paolone: Okay. Understand. And then Toni, you addressed the gap between the same-store sort of bumps year-over-year versus the comprehensive same-store in 2022. So, as we are thinking about ‘23 that 4% that you outlined, do you think that’s the number that converts down to AFFO, or like as the comprehensive same-store, or do you think there are some drags to that?
Toni Sanzone: I think you are right, the 2022 and even 2021, there was somewhat of a kind of a lot of moving parts and comprehensive with rental recoveries and that sort of thing. So, it did move from period-to-period. I would say pre-pandemic and kind of historically for us, we are seeing usually about 100 basis point drag or so from the top line kind of contractual same-store. And I think that’s a reasonable expectation for us into the future is that there will always be kind of some offsets that run through there. But that 100 basis point drag against the top line is probably a good expectation for us.
Anthony Paolone: Okay. And so I think, I guess just to make sure I understand it. So, if we are thinking about a build, you start with the four, maybe there is 100 basis points of drag and then we make whatever FX assumptions we want, I guess would be on top of that, kind of think through what really slows down.
Toni Sanzone: That sounds right, yes.
Anthony Paolone: Okay. And then just last one, just to clarify. I think you said $100 million in operating property NOI for ‘23. And I didn’t catch if you said this, that include 11 months of the Marriott properties, or does that not include the Marriott stuff?
Toni Sanzone: That does include the Marriotts. They are embedded in that $100 million.
Anthony Paolone: Okay. Got it. Thank you.
Operator: Thank you. Our next question is coming from Brad Heffern of RBC Capital Markets. Please go ahead.
Brad Heffern: Yes. Hey everybody. Jason, you have talked about the sale-leaseback market being really robust. I guess I am curious if you are seeing any better lease terms in addition to the higher volumes and cap rates things like higher escalators, longer duration, better lease protections, anything like that?
Jason Fox: Yes. I think I would say all of the above. I mean that’s one of the benefits of sale-leasebacks as we write our own leases, negotiate our own leases, I should say. And to some extent, we can dictate the terms that are important to us. Lease term has been one we focused on for 2022. Our weighted average lease term, I think was 19.9 years for new deals, which is in line with where we have been. I would expect that to be in line or 2023 to be in line with that as well. But we do focus on that. I think in addition to cap rates, we still are seeing some upward pressures on the type of bumps that we get. I think we are getting some pushback on inflation-linked increases as you can imagine. But our caps that we put in place from time-to-time and that’s maybe more of the conversation now. Those are higher than where they have been historically. And some of that has flowed through to the fixed rate increases as well. I think historically, we have probably been around 2% fixed increases on average, and we are going to be a little bit above that is my expectation this year. I mean we are above that for the leases that fixed increases for 2022. So, look, I think that we have maybe a little bit more negotiating leverage in some of these deals given that there is fewer alternatives for firms to raise capital. I think sale-leasebacks are really good opportunity right now. There is fewer competition that target sale-leaseback and there is even fewer that have – and maybe none that have a history as long as ours in terms of execution. So, I think all of those factors lead us to having incremental structuring abilities and we will kind of measure what’s important to us and what we get.
Brad Heffern: Okay. Thanks for that. And then I was wondering if you could talk through the watch list. Has it expanded or contracted? And I guess is there anything that we need to be keeping an eye on that maybe isn’t obvious from the 18% of ABR that you disclosed the tenants for?
Brooks Gordon: This is Brooks. Yes, Credit quality overall is quite good. Again, reiterate about 32% of ABR is investment grade. We are largely dealing with large companies with great access to capital and collecting materially all of our rent. From a watch list perspective, it’s in and around 2.5% of ABR – to put that into context, maybe the COVID peak was just over 4%. So, credit quality has improved since then. That said, we are certainly watching closely both macroeconomic and industry-specific headwinds. There is not really any trends or themes in the watch list. It’s very anecdotal and tenant specific. But certainly, at this point in the cycle, we want to pay very, very close attention and we are doing that. So, that’s kind of the status of the watch list, and I wouldn’t characterize it as anything different per se in recent quarters.
Brad Heffern: Prefect. Thank you.
Operator: Thank you. The next question is coming from John Massocca of Ladenburg Thalmann. Please go ahead.
John Massocca: Good morning. Maybe going back to the acquisition side of things and sale-leasebacks in particular, are you seeing a divergence in terms of pricing between investment-grade rated tenants and kind of non-investment grade rated tenants? I know the latter is kind of where you tend to do deals most often, but just kind of has there been a change in terms of pricing expectations for those two different buckets of potential tenants?
Jason Fox: John, we are not – I would say we are not really seeing many investment-grade rated leasebacks. And as you mentioned, that’s typically not where we have focused. I think the real opportunity here where – and I suspect there is a pretty big divergence. The real opportunity here is just below investment grade, where those companies and those credits have much fewer alternatives to access capital. So, I think again, not that tuned into where investment-grade sale-leasebacks are, but I am guessing that’s been much more stable and probably hasn’t increased as much. Just like the investment-grade bond markets haven’t moved as much as the high-yield markets. I think that’s reflective in the pricing on sale-leasebacks as well.
John Massocca: Okay. And then in terms of your own balance sheet, how are you thinking about leverage today? It sounded like guidance kind of implies a relatively flat leverage versus where you are 4Q. But maybe given where equity pricing is, especially relative to debt pricing, does it make sense longer term to kind of bring leverage down just because the pricing differential is pretty attractive, particularly versus historically?
Jason Fox: Yes. Look, we are…
Toni Sanzone: Yes. I think we are still looking at kind of our target leverage levels in that mid to high-5x range. I think we have leaned into our equity. Our equity pricing has been pretty favorable as a source of our cost of capital. I don’t think we view kind of the future environment in terms of where we can issue debt is keeping us out of the market long-term. So, I think we will continue to kind of stay in the range that we are in right now, so somewhat leverage neutral to kind of what you are seeing there. But I agree we are definitely leaning into the equity, given how well priced it’s been.
John Massocca: But I guess no philosophical change in that maybe mid-4 to 5 is the new kind of target range just because of an opportunity set here in the current environment.
Toni Sanzone: No. I would say we continue to kind of look at the existing target range. And look, I think our credit profile was just reaffirmed with the upgrades we got from the rating agencies. So, I think we are comfortable with the target ranges that we have in place now.
John Massocca: That’s it for me. Thank you very much.
Jason Fox: Thanks John.
Operator: [Operator Instructions] The next question is coming from Greg McGinniss of Scotiabank. Please go ahead.
Greg McGinniss: Hey, sorry. Just one quick follow-up. Toni, I appreciate the color on the expected income from the operating properties. I am just curious on looking at the normalized pro rata cash NOI for self-storage and other operating properties. I saw that dropped this quarter from last quarter. So, just wondering what’s going on there?
Toni Sanzone: Yes. There is really nothing of note kind of going from quarter-to-quarter there. I think we continue to see the storage performed well. I highlighted sort of what our expectations are for the upcoming year. And we think that mid to high-single digit growth on storage. There is probably some seasonality in there. We have one hotel portfolio or one hotel asset rather in the portfolio that runs through that line. So, annualizing that is probably taking that number down a bit. But I would say, just to look more to what we are projecting on a full year basis, which is for all of that portfolio, $100 million.
Greg McGinniss: Okay. Thanks. That’s it for me.
Operator: Thank you. At this time, I would like to turn the floor back over to Mr. Sands for closing comments.
Peter Sands: Thanks Donna. And thanks everybody on the line for your interest in W. P. Carey. If you have additional questions, please call Investor Relations directly on 212-492-1110. That concludes today’s call. You may now disconnect.